Operator: Good day ladies and gentlemen and welcome to your La-Z-Boy fiscal 2022 first quarter conference call. All lines have been placed in a listen-only mode and the floor will be open for your questions and comments following the presentation. If you should require assistance throughout the conference, please press star, zero to reach a live Operator. At this time, it is my pleasure to turn the floor over to your host, Kathy Liebman, Investor Relations. Ma’am, the floor is yours.
Kathy Liebman: Thank you Taran and good morning everyone. Thank you for joining us to discuss our fiscal 2022 first quarter results. With us this morning are Melinda Whittington, La-Z-Boy’s President and Chief Executive Officer, and Bob Lucian, CFO. Melinda will open and close the call, and Bob will speak to segment performance and the financials midway through. We’ll then open the call to questions. Slides will accompany this presentation and you may view them through our webcast link, which will be available for one year, and a telephone replay of the call will be available for one week beginning this afternoon. Before we begin the presentation, I’d like to remind you that some statements made in today’s call include forward-looking statements about La-Z-Boy’s future performance and other matters. Although we believe these statements to be reasonable, our actual results could differ materially. The most significant risk factors that could affect our future results are described in our annual report on Form 10-K. We encourage you to review those risk factors as well as other key information detailed in our SEC filings. Also, our earnings release is available under the News and Events tab on the Investor Relations page of our website, and it includes reconciliations of certain non-GAAP measures which are also included as an appendix at the end of our conference call slide deck.  With that, I’ll now turn over the call to Melinda Whittington, La-Z-Boy’s President and Chief Executive Officer. Melinda?
Melinda Whittington: Thank you Kathy, and good morning everyone. Yesterday afternoon following the close of market, we reported our fiscal ’22 first quarter results, a quarter marked by multiple successes as well as some expected challenges. Across the La-Z-Boy enterprise, we delivered all-time record high sales of $525 million, making and selling more furniture in the quarter than we ever have in modern history, even with production running only 12 weeks in the quarter due to our annual one-week maintenance shutdown in July versus 13 weeks in most quarters. Demand across all businesses also remained high and backlog remains at record levels.  Written same store sales for the La-Z-Boy Furniture Galleries network increased 10% versus the prior year quarter and has grown at a compound annual growth rate of 13% across the last two years since pre-pandemic, demonstrating the continued strength of demand for our La-Z-Boy branded products. Written same store sales for our company-owned retail segment increased 22% versus the prior year period, and at a compounded annual growth rate of 16% over the last two years. Joybird continued on its strong growth journey, writing 31% more business than in last year’s first quarter and growing at a compounded annual growth rate of 35% across the last two years. On the manufacturing front, we continued to increase capability to build and deliver more furniture to better service continued strong demand and are in the process of increasing our sell count across the La-Z-Boy branded business. Also during the quarter, we continued to return value to shareholders with a dividend payment and $36 million of share repurchases, and we’ve recently expanded our repurchase authorization. At the same time, we are experiencing challenges in our wholesale business. We continue to have inefficiencies at the plant level as we open additional upholstery capacity and hire, train, and work to retain what is currently about one-third more workers versus pre-pandemic. We are continuing to invest to increase flexible capacity during the remainder of this fiscal year in order to work through our backlog.  Also as expected, we experienced significant short term margin compression on the wholesale business primarily due to higher raw material and freight costs, which have risen at unprecedented rates and speed over an extended period. As we’ve talked previously, we made the decision to not take action on the backlog with our first four rounds of price increases since the pandemic began. With wait times extending up to seven months for the La-Z-Boy branded business, that has resulted in delayed recognition of those price increases until they work they way through to our delivered sales. Looking to the future, during the quarter we also made several strategic decisions to take us through this unprecedented period and ensure we emerge stronger post pandemic. Recognizing that commodity prices are expected to remain at highest levels in recent history, in July we took our fifth price increase since the pandemic began but this time also took a surcharge on our backlog. Given the unparalleled nature of rising material costs, we are asking our business partners to share in the financial impact during a period where we are all experiencing record demand. Since our first price increase last October, cumulative price increases and surcharges now add up to the high teens versus pre pandemic. Second on the practical side, our procurement team has significantly increased inventory for key component parts to minimize future supply disruptions and ensure a steady stream of furniture is manufactured and delivered.  Third, we launched Project Century, our long term strategy path for strong growth and profitability as we had towards our centennial anniversary in 2027. At a high level, key components include a focus on growing market share for our strong consumer brands, specifically La-Z-Boy and Joybird. In an extremely fragmented industry, the iconic La-Z-Boy brand enjoys an unparalleled identity for comfort and quality while being a leader in motion. We believe we can fully leverage these attributes to grow our business and will invest to expand our reach to a broad range of consumers, including younger consumers, through consumer insights, product innovation, new experiences, and messaging. At the same time, we will continue to expand and strengthen our omnichannel presence. We will offer a state-of-the-art ecommerce experience and a strong brick and mortar footprint to ensure we easily reach consumers wherever they prefer to shop, and now that we have a sustainably profitable direct-to-consumer model with Joybird, we’ll increase investment to expand consumer awareness and accelerate profitable growth. At the same time, we’ll enhance Joybird’s omnichannel offering by opening additional small footprint brick and mortar stores in high traffic urban areas. Our first three stores in Brooklyn, Chicago and Washington DC have met with great success, and there is exciting potential for additional stores, including one in Los Angeles planned to open in the fall.  As the final pillar of Project Century, we’ll enhance our corporate capabilities and leverage the balance of the enterprise portfolio to efficiently support these initiatives and over time enable the potential for tack-on acquisitions that can benefit from our supply chain expertise and accelerate the La-Z-Boy Incorporated growth story. With these initiatives in place, over time we envision sales growth outpacing industry averages while delivering industry-leading margins as we complete our first century in 2027. Now let me turn the call over to Bob to review the results for the quarter. Bob?
Bob Lucian: Thank you Melinda, and good morning everyone. As a reminder, we present our results on both a GAAP and non-GAAP basis. We believe a non-GAAP presentation better reflects underlying operating trends and performance of the business. Our fiscal ’22 first quarter non-GAAP results exclude purchase accounting charges which are detailed in our press release and in the tables in the appendix section of our conference call slides. On a consolidated basis, fiscal ’22 first quarter sales increased 84% to a record $525 million, reflecting strong demand, capacity increases, and a comparison to the fiscal ’21 first quarter when we restarted our plants at reduced capacity after a month-long shutdown, and most retailers were closed for a portion of the quarter due to COVID-19. Sequentially from fiscal ’21 Q4, first quarter sales increased even with our annual one-week maintenance shutdown in July. Compared with the pre-pandemic fiscal ’20 first quarter, sales increased 27% for a compounded annual growth rate of about 13%. Consolidated GAAP operating income increased to $34 million and non-GAAP operating income increased to $35 million. Consolidated GAAP operating margin was 6.5% and non-GAAP operating margin was 6.6%, reflecting expected significant short term pressure on wholesale margins as the realization of previously announced pricing actions trailed escalating input costs and we continued to invest in capacity expansion.  GAAP diluted EPS was $0.54 for the fiscal ’22 first quarter versus $0.10 in the prior quarter. Non-GAAP diluted EPS was $0.55 in the current year quarter versus $0.18 in last year’s first quarter.  My comments from here will focus on our non-GAAP reporting unless specifically stated otherwise. I will now turn to a review of our results by segment. Demand for product across all businesses remains robust. Starting with our wholesale segment, delivered sales for the quarter grew 76% to $393 million compared with the prior year period. Compared with the pre-pandemic fiscal ’20 first quarter, sales were 23% higher for a compounded annual growth rate of 11%. Non-GAAP operating margin for the wholesale segment was 4.7%, reflecting expected gross margin pressure as raw material and freight cost increases outpaced the realization of previously announcing pricing actions and we continued to invest in bringing online new capacity.  Now let me turn to the retail segment, which produced excellent results. For the quarter, delivered sales doubled, increasing 100% to a first quarter record of $182 million, and delivered same store sales increased 92% versus the year-ago quarter, which was impacted by COVID. Compared with the pre-pandemic fiscal ’20 first quarter, sales increased 27% for a compounded annual growth rate of 13%, reflecting strong execution at the store level.  Non-GAAP operating margin increased to 11.2%, another first quarter record driven primarily by fixed cost leverage on the higher delivered sales volume. Last year’s first quarter margin was negative 6.8% with the period marked by a significant reduction in delivered sales due to delays in product deliveries from COVID-related manufacturing shutdowns in April as well as retail closures, with some store closures extending into June.  As Melinda noted, we are continuing to invest in the La-Z-Boy Furniture Galleries store system with new stores, remodels, and relocations. We have approximately 25 projects scheduled this fiscal year for the company-owned stores out of a total of approximately 35 projects across the network. Additionally, we are pleased to announce that earlier this week, we closed on the acquisition of three stores on Long Island, New York and look forward to expanding and strengthening the business there. Sales for Joybird, which are reported in corporate and other, increased 188% to $39 million, almost tripling from the prior year first quarter. From the pre-pandemic fiscal ’20 first quarter, delivered sales increased 125% for a compounded annual growth rate of about 50%, reflecting Joybird’s strong positioning in the direct-to-consumer marketplace as well as excellent end-to-end execution by the team.  For the period, Joybird increased its gross margin primarily from higher sales volume, product pricing actions, an increase in average ticket, and synergies due to its integration into our broader supply chain. It also experienced increased conversion on the website and a significant increase in retail store traffic. We have achieved sustained structural profitability at Joybird and will continue to increase our marketing spend to expand awareness, improve customer acquisition, and accelerate growth. Pulling all this together, consolidated non-GAAP gross margin for the fiscal ’22 first quarter decreased 270 basis points versus the prior year quarter, primarily driven by significant increases in commodity and freight costs in addition to start-up costs associated with the expansion of our manufacturing capacity and labor challenges in our wholesales businesses. These items were partially offset by changes in our consolidated sales mix driven by the faster growth of retail and Joybird, which carry a higher gross margin than our wholesale businesses, and from an improved gross margin performance at Joybird.  Consolidated SG&A as a percentage of sales for the quarter decreased 620 basis points, primarily reflecting fixed cost leverage on the higher sales volume mainly in our retail segment. Our effective tax rate on a GAAP basis for the fiscal ’22 first quarter was 25.9% versus 19.8% in the first quarter of fiscal 2021. The increase in our effective tax rate for this year’s first quarter versus last year’s first quarter was primarily due to additional tax benefits from stock compensation in fiscal 2021 which did not occur in fiscal 2022. Absent discrete adjustments, our effective tax rate would have been 25.3% and 26.1% in the first quarters of fiscal 2022 and 2021 respectively. We expect our effective tax rate for the full fiscal 2022 year to be between 25.5% and 26.5%. Turning to cash, we generated $6 million in cash from operating activities in the quarter. We invested $39 million in higher inventory levels to protect against supply chain disruptions and support increased production and delivered sales. Additionally, during the quarter we made seasonal incentive compensation payments related to the last fiscal year. We also spent $19 million in capital primarily related to improvements to our retail stores, upgrades at our manufacturing and distribution facilities, new upholstery manufacturing capacity in Mexico, and technology upgrades.  We ended the period with $336 million in cash and no debt compared with $337 million in cash at the end of fiscal 2021 first quarter, which included $15 million in cash proactively drawn on our credit facility. In addition, we held $33 million in investments to enhance returns on cash compared with $16 million last year. Regarding cash returned to shareholders, during the quarter we continued to aggressively buy back shares, spending $36 million repurchasing more than 900,000 shares of stock on the open market under our existing authorized share repurchase program. Over the past two quarters, we have returned $79 million to shareholders via share repurchase. We also paid $7 million in dividends to shareholders in the last quarter. Earlier this week, demonstrating its confidence in the company’s ability to grow profitably and continue to generate strong cash flow from operations, the board of directors approved an increase of 6.5 million shares to the company’s existing share repurchase authorization. With the 2.5 million shares available for repurchase under the program as at the end of the fiscal 2022 first quarter, this increase brings the total share repurchase authorization to 9 million shares, representing approximately 20% of shares outstanding. This equates to approximately $320 million at Monday’s closing stock price. The company expects to execute the repurchase program over a three to four-year period subject to market conditions, operational performance, cash flow from operations, cash balances, potential M&A activity, and other business investments. Additionally, the board approved a dividend of $0.15 per share to shareholders of record as of September 2, 2021. As we look to the future from a capital allocation perspective, over the long term we will target to invest approximately half of operating cash flow back into the business, primarily via capex and M&A, and return the remainder to shareholders via dividends and share repurchases.  Before turning the call back to Melinda, let me highlight several important items for the remainder of fiscal 2022. As noted, demand trends remain strong across the business and remain significantly higher than pre-COVID levels. With robust written order trends, our backlog remains at a record level, setting us up for a strong year of shipments as we continue to increase production capacity sequentially each quarter, we improve product mix capability, and work through our wholesale and retail backlogs. While raw material and freight cost prices remain high and global supply chain disruptions continue, pricing actions taken to date, including the recent surcharge on our backlog, will begin to flow through our numbers in Q2. As a result, we expect to finish the fiscal year with a consolidated full year non-GAAP operating margin at or near double digits, more consistent with our performance in the fiscal 2021 fourth quarter.  Finally, as we make investments in the business to strengthen the company for the future, we expect capital expenditures to be in a range of $65 million to $75 million for fiscal 2022. Spending will support updating our La-Z-Boy Furniture Gallery stores, updates to our plant and distribution facilities in Neosho, Missouri, new upholstery manufacturing in Mexico, and investments in technology solutions across the organization.  Now I will turn the call back to Melinda.
Melinda Whittington: Thanks Bob. We continue to operate in a very volatile environment with COVID uncertainties, high input costs, ongoing supply chain disruptions, and continued strong demand curves. Our team is doing an outstanding job of managing the competing priorities of our various stakeholders, including our customers, shareholders, and employees. We expect capacity expansion efforts will enable strong business growth as we move forward, and we are focused both on near term tactics while designing our future for our 100th year and beyond. I believe the best is yet to come for La-Z-Boy Incorporated.  We thank you for your attention, and now I’ll turn the call back to Kathy.
Kathy Liebman: Thank you Melinda. We’ll begin the question and answer period now. Taran, please review the instructions for getting into the queue to ask questions. 
Operator: [Operator instructions] We’ll take our first question from Bobby Griffin with Raymond James. Please go ahead.
Bobby Griffin: Good morning everybody. Thank you for taking my questions.
Melinda Whittington: Good morning.
Bob Lucian: Morning Bobby.
Bobby Griffin: I guess the first question or first area I want to hit on is just the production capabilities and the throughput. Just want to make sure I’m understanding your comments correctly and thinking about it the right way. Are you guys thinking that weekly production capabilities should continue to build sequentially as you bring more people in the plants or capacity comes on, etc., so when we look at the second quarter and recognizing you have a record level backlog, we would expect 13 weeks of throughput at at least the same rate that we saw here in 1Q, is that fair?
Melinda Whittington: That’s fair, yes. For our wholesale business with between folks training and just continuing to pick up pace, as well as the sells we are continuing to open, that is a very fair assumption.
Bobby Griffin: Okay, and then I guess secondly, it’s unprecedented times naturally with raw materials and the pandemic and things like that, so putting the surcharge in your backlog, even though it’s the first time, with the environment is not necessarily that surprising. But just curious on what the feedback’s been given that it’s something that’s not typically done, and any commentary around that. 
Melinda Whittington: Yes, as you said, it’s unprecedented times, and it’s not an unprecedented action in the current environment. We’ve seen a lot of manufacturers take similar actions The challenge is always balancing the needs of our various constituencies, right, between our shareholders, our customers and our employees, and as you mentioned, the situation with multiple cost components inflating at historic levels and historic pace for an extended period, we held off as long as we could, honestly. It was not a light decision to make, but we have taken that decision and are looking to share the challenges across our businesses, both with our own retail as well as with our customers. It’s been a challenge and we’re working through that, but we’re confident that if you think about that backlog, a healthy portion of the backlog can still be priced to the end consumer, and that would be the way certainly even on our own retail business that we’ll be looking to recoup some of that, because we do the same, right - we charge our own retail from our wholesale business as well, so working with our business partners, the opportunity to take a price increase to the end consumer on a healthy portion of that backlog would be the way to mitigate a portion of that overall increase.
Bobby Griffin: Okay, that’s helpful. Then I guess lastly for me, in the comments you mentioned half the cash flow back in the business through capital expenditures and M&A and investments like that, but maybe can you talk a little bit on your M&A strategy? Has that changed recently now coming post pandemic here, and maybe just refresh us on how you think about M&A.
Melinda Whittington: Yes, I think two things. We have always said that opportunistically we would be interested in purchasing a higher portion of our furniture galleries, and you saw that with the Long Island transaction here this quarter. We continue to interact with our furniture gallery owners to the extent that they’re interested in a transaction like that, and it does give us the opportunity to drive some synergies on the overall network. We also over time, as I mentioned, as we look at our next six years or so, we want to take the learnings we’ve had from certainly the Joybird acquisition, where we now have a business model that we’re proud of and ready to continue to grow and get better at how we would do that sooner. We’ve always said we’re not a bet the farm acquisition kind of organization, but the opportunity to take our learnings in some of those key skill sets that we have, primarily the supply chain know-how that we have, and potentially create value by some tack-on acquisitions over the next six years or more is certainly an area we’ll continue to look at, particularly given the higher cash balances that we’ve accumulated over the last year or two.
Bobby Griffin: Thank you. I appreciate the details. Best of luck here going through the rest of the calendar year. 
Melinda Whittington: Thank you.
Operator: Our next question comes from Anthony Lebiedzinski with Sidoti. Please go ahead.
Anthony Lebiedzinski: Yes, good morning, and thank you for taking the questions. Just wondering with the price increases on the backlog, any sort of notable changes as far as order cancellations that you can point to, or have you not seen that?
Bob Lucian: We have not seen that yet, Anthony. We’re continuing to monitor the situation, but we’ve seen no change in the cancellation rates that we typically see.
Anthony Lebiedzinski: Got it, that’s great to hear. You mentioned that the backlog is at a record high level. Did you guys quantify that, or maybe I missed it?
Bob Lucian: We did not quantify it. I’ll tell you it’s higher than it was, than what we did quantify for folks in the 10-K, so orders came in stronger than we were able to make, even though we were making more than we made in the previous quarter.
Anthony Lebiedzinski: Got it, okay. Given the extended lead times that people are waiting for custom furniture, just wondering have you guys seen any changes as far as what people are buying? Are they shifting more to in-stock merchandise versus custom furniture, or just wondering have you seen any change as to what people are buying.
Melinda Whittington: No real changes, Anthony. The lines begin to blur a bit because there are situations where the customer’s come in and chosen not to customize, but they may place an order on something that normally would have been a stock order, so those lines blur a bit. But as far as what folks are ordering, no big changes.
Anthony Lebiedzinski: Got it, okay. Lastly, a little bit more of a housekeeping question, but on the wholesale revenue piece, if you could just broadly speak about unit volume increase versus price increase, what you saw in the quarter.
Bob Lucian: From a delivered sales standpoint?
Anthony Lebiedzinski : Yes.
Bob Lucian: Okay. I’d say that the volume was--the sales were probably 3% to 4% up due to pricing in the quarter versus the prior year.
Melinda Whittington: The vast majority of the uptick is volume. We mentioned that our stacked pricing at this point is up to high teens, but what’s actually coming through on delivered, because of the backlog, is call it a third or less of that.
Anthony Lebiedzinski: Got it, okay. All right, well thanks and best of luck.
Melinda Whittington: Thank you.
Operator: We’ll take our next question from Brad Thomas with Keybanc Capital Partners. Please go ahead.
Brad Thomas: Hi, good morning everybody. A couple of follow-up questions, if I could. Was wondering if you could talk a little bit about written orders and the cadence in the quarter and how you’re feeling about the trends. You referenced still feeling like the demand backdrop is very healthy. I know as we get into August, end of June and July, you were up against months where your written orders had been up, I believe in the 30% range last year, so just curious how growth was shaping up as you were lapping those difficult comparisons.
Melinda Whittington: Yes, like you say, you’ve got a strange base of comparisons for this quarter, right, because we were essentially shut down--most of our customers were shut down in May a year ago, mixed openings finishing up in June and everyone going to town in July. But broadly, what I would say is we are not seeing--this year, right, if I look at this year, we are not seeing month to month any significant drop-off in the order rates at this point.
Brad Thomas: Got you, so as you’ve lapped, are you still posting some growth in the written orders as you lap these tougher comparisons?
Bob Lucian: In Q1, the answer is yes, so across what Melinda just described as a strange period of very low in May and then increasing in June and July, so across the Q1 quarter we did see an increase.
Melinda Whittington: Which is, again, both a good thing and a challenge. What that says is we’re really not seeing the slowing. You have to expect some of that will come at some point, but it’s also a bit of a challenge on why our backlog continues to grow, because even though we are manufacturing more furniture, incrementally each week, each month that demand pace continues to be solid.
Brad Thomas: Yes, okay. Then to follow up on the earlier question on price versus unit, if we look at the written orders of 10.4% in the July quarter, your pricing as of now is running up high teens, as you mentioned, does that mean basically on a run rate basis, we’re starting to get to flat or negative year-over-year on the unit basis? I’m just trying to think about mathematically how it works and break the order trend apart a little bit here.
Melinda Whittington: Yes, units overall will continue to increase - what we are producing, units continue to increase each quarter. Now, on any given--when you get into the nuances, like we’ll see some challenges likely in our case goods business as we go forward this next quarter because a healthy portion of that is imports out of Vietnam, and you know the challenges there, so the devil’s in the details on some of those pieces. Our U.K. business has heavy orders, lower delivery in the near term, so on the fringes there’s some overall ups and downs, but if you think about the biggest chunk of our business, which is what we’re manufacturing for North America on the La-Z-Boy brand, as well as for the Joybird brand, units continue to increase sequentially and year-on-year.
Brad Thomas: Okay, great. Just a last one from me on gross margin. With the price increases and now the backlog price increase, does this set up this first fiscal quarter as kind of the low water mark for gross margin to where it may still be down in the October quarter, but at a lesser rate than what you saw in 1Q? Is that the way to think about the cadence going forward here in margin trends? 
Melinda Whittington: Yes, that’s correct.
Bob Lucian: That’s correct, yes.
Brad Thomas: Okay, great. Thank you so much, and best of luck.
Melinda Whittington: Thank you.
Bob Lucian: Thank you.
Operator: That concludes our question and answer session. We’ll turn the floor back to our presenters for closing remarks. 
Kathy Liebman: Thank you everyone for joining us this morning. Should you have any follow-up questions, please give me a call. Thank you and have a great day.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. We thank you again for your participation. You may disconnect your lines at this time. Have a great day.